Operator: Good morning, and welcome to the H&E Equipment Services First Quarter 2018 Earnings Call. Today's call is being recorded. At this time, I would like to turn the call over to Mr. Kevin Inda, Vice President of Investor Relations. Please go ahead.
Kevin S. Inda - H&E Equipment Services, Inc.: Thank you, John, and welcome to H&E Equipment Services conference call to review the company's results for the first quarter ended March 31, 2018, which we released earlier this morning. The format for today's call includes the slide presentation, which is posted on our website at www.he-equipment.com. Please proceed to slide 2. Conducting the call today will be John Engquist, Chief Executive Officer; Brad Barber, President and Chief Operating Officer; and Leslie Magee, Chief Financial Officer and Secretary. Please proceed to slide 3. During today's call, we will refer to certain non-GAAP financial measures and we've reconciled these measures to GAAP figures in our earnings release, which is available on our website. Before we start, let me offer the cautionary note. This call contains forward-looking statements within the meaning of the federal securities laws. Statements about our beliefs and expectations and statements containing words such as may, could, believe, expect, anticipate and similar expressions constitute forward-looking statements. Forward-looking statements involve known and unknown risks and uncertainties, which could cause actual results to differ materially from those contained in any forward-looking statement. A summary of these uncertainties is included in the safe harbor statement contained in the company's slide presentation for today's call and also include the risks described in the risk factors in the company's most recent Annual Reports on Form 10-K and other periodic reports. Investors, potential investors and other listeners are urged to consider these factors carefully in evaluating the forward-looking statements and are cautioned not to place undue reliance on such forward-looking statements. The company does not undertake to publicly update or revise any forward-looking statements after the date of this conference call. With that stated, I'll now turn the call over to John Engquist.
John M. Engquist - H&E Equipment Services, Inc.: Thank you, Kevin, and good morning, everyone. Welcome to H&E Equipment Services First Quarter 2018 Earnings Call. On the call with me today are Leslie Magee, our Chief Finance Officer; Brad Barber, our President and Chief Operating Officer, and Kevin Inda, our Vice President of Investor Relations. My comments this morning will focus on our first quarter results, our business and overall market conditions, and then Leslie will review our financial results for the quarter. When Leslie finishes, I will close with a few brief comments, after which we'll be happy to take your questions. Proceed to slide 6, please. The strength in our business continued during the first quarter with both our rental and distribution segments delivering solid year-over-year improvements. Demand in our non-residential construction markets remained strong across our footprint. We are very pleased with our performance to begin the year. We also executed on our growth strategy, closing the CEC acquisition in early January and the Rental Inc. acquisition in early April. Total revenues increased approximately 15% to $260.5 million in the first quarter. Margins were 35.5% compared to 34.2% a year ago. Adjusted EBITDA grew over 17% to $80.9 million compared to $68.8 million a year ago. For the first quarter, we generated net income of $9.5 million or $0.26 per diluted share, compared to $5.4 million or $0.15 per diluted share a year ago. Our distribution business, specifically new equipment sales, improved with total new equipment sales increasing to $46.5 million from $34.3 million a year ago. The net increase in new equipment sales was primarily the result of an increase in new crane sales. Move to slide 7, please. The increased activity in our rental business continued during the first quarter with time utilization increasing 190 basis points to 70.4% for the quarter compared to 68.5% a year ago. Dollar utilization grew to 34.7% from 32.4% a year ago, and we achieved positive rates for the fourth consecutive quarter, up 2.1% year-over-year and 0.2% sequentially. As a result, rental revenues increased 20.5% compared to a year ago to $129.4 million, and rental gross margins increased to 47.6% from 44.8% a year ago. During the quarter, our fleet size increased $99 million to $1.5 billion, reflecting both CapEx purchases in the normal course and the assets acquired with CEC. Proceed to slide 8, please. This slide illustrates our expanding nationwide footprint, various regions, branch locations, 18 greenfield sites that we have opened since the beginning of 2013, and sites acquired in the CEC and Rental Inc. acquisition. With the closing of the Rental Inc. acquisition in early April, we currently have 88 branches located throughout the U.S. The integration of CEC is substantially complete and we expect Rental Inc. to be integrated quickly as well. The performance of CEC post-closing has been solid, contributing $11.7 million in revenue for the quarter. We will continue to grow our footprint and business by exploring additional acquisitions, greenfields and warm starts. Let me make a few brief comments about demand in the Gulf Coast. Activity remains solid as a result of both non-residential and energy-related project activity. Several significant new energy-related projects have recently been announced, which supports industry expectations that a second wave of industrial projects is forthcoming. ExxonMobil has announced plans to spend $50 billion to expand its business in the U.S. in the next five years, which includes doubling its U.S. oil refining capacity along the Gulf Coast, a move that could boost refining capacity at Baton Rouge and Beaumont refineries, as well as other projects throughout the Gulf Coast. Energy Transfer Partners, Westlake Chemical Corporation and others have recently announced new Gulf Coast projects as well. According to Louisiana Economic Development, since 2012 Louisiana alone has attracted company expansion announcements totaling more than $178 billion in capital investment and has been associated with over 115,000 permanent new jobs. Over $85 billion of that capital investment is completed or underway, with the remainder in financing, engineering and permitting phases. Our expectations remain bullish regarding demand in our Gulf Coast market. Please proceed to slide 9. We believe our well-diversified end-user markets and fleet mix are strategic advantages for our business. With more than 60% exposure to non-residential construction, we're embedded in a segment that many forecast to experience good growth for the next several years. We believe fleet mix and age are also competitive advantages for our business. We historically achieve high returns as a result of our large aerial fleet, which was highly utilized during the quarter and again delivered positive rental pricing. With one of the youngest fleets in the industry, at 34.9 months, we can easily age our fleet if the need arises. Continue to slide 10, please. The data on this slide demonstrates the strong demand we're seeing in our end-user markets. Leading industry indicators forecast ongoing growth in the construction markets. The economy is generally strong. Energy markets have continued to improve. Demand for machinery is high. We believe it's a positive environment for our industry and business right now and that this strength will continue as the year progresses. At this time, I'm going to turn the call over to Leslie for the financial results.
Leslie S. Magee - H&E Equipment Services, Inc.: Good morning, everyone, and thank you, John. I'll begin on slide 12 to discuss our financials in greater detail. As John indicated, we are pleased that our first quarter results were solid compared to a year ago and demand remained strong in the markets we serve. Our first quarter results include CEC's legacy operation, which was acquired on January 1. For a high-level overview, total revenues increased 14.8% or $33.7 million in the first quarter compared to the same period a year ago to $260.5 million, driven primarily by the strength in both our rental and distribution business. Gross profit increased 19.2% or $14.9 million to $92.6 million from $77.7 million a year ago. Margins were 35.5% compared to 34.2% a year ago, largely as a result of higher rental gross margins. Let's now dive deeper into the underlying details of the 14.8% top-line revenue growth beginning with rental revenues. Rental revenues increased 20.5% to $129.4 million, and as John pointed out, our physical utilization increased 190 basis points, with average time utilization based on OEC of 70.4% for the quarter compared to 68.5% a year ago, including the quarter's results for CEC. Demand for AWPs was 72.8% of OEC, up from 71.5% a year ago. Crane utilization increased 870 basis points to 79.1%, lift truck utilization increased 150 basis points to 73.8%, general equipment increased 520 basis points to 61.4% compared to a year ago, and earthmoving was essentially flat with the year ago at 61.6% and in part due to wet weather in our earth-heavy markets in Louisiana, Arkansas and the Mid-Atlantic. Rental rates improved again this quarter, 2.1% year-over-year, and rates improved in all product lines. Rates also increased 0.2% sequentially. Please note that time utilization provided at the detailed product line level and our rental rate data do not include the CEC data. Moving forward, in future reporting periods, this information is expected to be captured consistently as the systems are now fully integrated. With strong utilization and rates, our dollar returns increased to 34.7% versus 32.4% last year. New equipment sales increased 35.7% or $12.2 million to $46.5 million. The improvement in new equipment sales was largely due to higher new crane sales, which increased $16 million to $22.3 million. This increase was partially offset by lower sales of new earthmoving equipment, which decreased 24.6% or $4.3 million during the quarter. Used equipment sales decreased 13.9% or $4 million to $24.9 million, largely as a result of lower used crane and earthmoving sales. These declines were partially offset by higher used AWP sales compared to a year ago. Sales from our rental fleet comprised 94% of total used equipment sales this quarter, compared to 86% a year ago. Our parts and service segment delivered $43.2 million in revenue on a combined basis, up 2.6% from a year ago. I'll now move on to a brief discussion of gross profit and margin. Total gross profit for the quarter was $92.6 million compared to $77.7 million a year ago, an increase of 19.2% on a 14.8% increase in revenues. Consolidated margins were 35.5% compared to 34.2% a year ago, driven primarily by improved rental gross margins combined with solid performance in other business segments. For gross margin detail by segment, rental gross margins for the quarter were 47.6% compared to 44.8% last year, primarily due to strong utilization and positive rates. Margins on new equipment sales were 12.1% for the first quarter compared to 11.4% a year ago, largely due to higher margins on new crane and earthmoving sales. Our used equipment sales gross margin was 31.9% compared to 31.2% last year. Margins on pure rental fleet only (00:13:38) sales were 33.1% compared with 34.7% a year ago. And our parts and service gross margins on a combined basis were 40.6% compared to 41.9% a year ago. Let's move to slide 13, please. Income from operations for the first quarter of 2018 increased 28.1% to $27.3 million, or 10.5% of revenues, compared to $21.3 million, or 9.4% of revenues a year ago. The increase in income from operations is primarily a result of improved rental gross margins, increased new equipment sales and solid margin performance on other business segments compared to a year ago. SG&A expenses were 25.3% of revenues this quarter, the same as a year ago, which I'll discuss further on slide 16. Proceed to slide 14. Net income was $9.5 million or $0.26 per diluted share in the first quarter, compared to $5.4 million or $0.15 per diluted share in the same period a year ago. And our effective tax rate declined to 27.5% compared to 36.8% a year ago. Please move to slide 15. Adjusted EBITDA was $80.9 million in the first quarter compared to $68.8 million a year ago and margins were 31.1% compared to 30.3% a year ago, partially due to improved gross margins in the rental business. Next, slide 16. SG&A was $65.9 million, an $8.6 million or 14.9% increase over the same period last year, and SG&A as a percentage of revenue was 25.3% in both periods. The net increase was largely due to higher labor, wages, incentives and other employee benefit costs totaling $4.1 million. In addition to these costs, our results for the first quarter include three months of CEC's legacy operations, accounting for $2.2 million of the increase compared to the prior year. We also recognized $0.7 million of amortization of intangibles associated with the purchase price allocation of CEC. And last, branch expansions costs increased $1.1 million compared to a year ago. Next, on slide 17, our gross fleet capital expenditures during the first quarter were $56.1 million, including non-cash transfers from inventory. Net rental fleet capital expenditures for the quarter were $32.7 million. Gross PP&E CapEx for the quarter was $4.5 million and net was $3.7 million. Our average fleet age as of March 31 was 34.9 months. Free cash flow for the first quarter was a use of $117.8 million and includes the purchase of CEC. As a reminder, Rental Inc. was acquired on April 1; therefore, our results do not include the purchase of this business. This compares to free cash flow of $17.5 million a year ago and we have included GAAP reconciliations to net cash provided by operating activities to free cash flow for the periods presented on this slide and the appendix at the end of the presentation. Next, on slide 18. At the end of the first quarter, the size of our rental fleet based on OEC was $1.5 billion, a 13.2% or $175.3 million increase from a year ago. Average dollar utilization was 34.7% compared to 32.4% a year ago. Proceed to slide 19, please. At the end of the first quarter, we had no outstanding balance under the amended ABL facility. Therefore, we had $742.3 million of availability at quarter end, net of $7.7 million of outstanding letters of credit. We believe our balance is strong and our capital structure supports our growth strategy. And at this time, I'm going to turn the call back to John.
John M. Engquist - H&E Equipment Services, Inc.: Thank you, Leslie. Please proceed to slide 21. To conclude, we delivered strong results for the first quarter, highlighted by continued strength in our rental business and improving trends in our distribution business. Demand in our end-user markets is strong and we expect 2018 to be a solid year for our business and the industry. We're excited about the acquisitions of CEC and Rental Inc. and remain focused on our growth strategy. We intend to continue to pursue additional complementary acquisitions. Lastly, we paid our 15th consecutive quarterly cash dividend on March 9. As always, future dividends are subject to board review and approval each quarter. At this time, we'd like to take your questions. Operator, please provide instructions.
Operator: Thank you. We'll take our first question from Neil Frohnapple with Buckingham Research.
Neil Frohnapple - The Buckingham Research Group, Inc.: Hi. Good morning.
John M. Engquist - H&E Equipment Services, Inc.: Hi, Neil.
Neil Frohnapple - The Buckingham Research Group, Inc.: We've now had two consecutive quarters of robust crane sales growth. Do you feel like we've turned the corner and growth will continue, particularly with oil staying above $60? Or do you think we need a greater pickup in aftermarket activity first?
John M. Engquist - H&E Equipment Services, Inc.: Look, we expect 2018, as I said on our last call, to be better than 2017, and the crane sales we're very comfortable it will be. But are we prepared to say there's a full-blown recovery in the crane markets? We're not there yet. And Brad and I are both looking to see a stronger pickup on the parts and service side, but it's going to be better. We're seeing increased activity. We're quoting more, but we're not prepared to say this is a full-blown recovery.
Neil Frohnapple - The Buckingham Research Group, Inc.: Okay, John. And then, the 4% growth in the parts business in the quarter, I mean how much was that driven by a pickup in the crane rebuild activity? I mean, are you starting to see some early indications that that lead indicators are starting to improve?
John M. Engquist - H&E Equipment Services, Inc.: Brad will...
Bradley W. Barber - H&E Equipment Services, Inc.: Yeah, sure. Neil, we had a couple projects that we may not have otherwise had. They were more related to accident repair. They were large ticket items, more like a rebuild, but it was due to accidents that some select cranes had. They weren't even necessarily the manufacturers that we represent. We do more of an all-makes repair. Of course, most of it's centered around Grove and Manitowoc. So that was good for us and we were happy to get it, but, no, we are not seeing the large rebuild that we've referred to in the past just yet.
Neil Frohnapple - The Buckingham Research Group, Inc.: Okay. And then one final one for me. I mean, can you just talk more about the rental rate outlook? I mean, you guys had solid 2% growth in the quarter. I guess, first, was that above expectations? And then I guess, second, do you think that end market demand will support further rental rate increases this year? Thank you.
John M. Engquist - H&E Equipment Services, Inc.: Yes, we do. We expect further rate increases. We're in a real solid environment with high utilization and what we've seen so far in April is positive. So we feel good about the rate picture for the remainder of the year.
Neil Frohnapple - The Buckingham Research Group, Inc.: Great. Thank you.
Operator: We'll take our next question from Michael Feniger with Bank of America Merrill Lynch.
Michael Feniger - Bank of America Merrill Lynch: Hey, guys. Yeah, thanks for taking my question. Similar to the question on rates, I mean, if we take a step back, obviously up 2% year-over-year. You're talking about a really strong environment. A lot of players are talking about some inflation on their cost base of labor, equipment prices. I'm just curious like long-term, can we see an environment you think where prices are up 3.5%, 4% year-over-year or do you think you can return to a pricing environment like that? Is there anything to say we can't?
John M. Engquist - H&E Equipment Services, Inc.: No. Look, that's possible. That's not our prediction, nor do we want to guide anyone to think that we're planning on those types of levels, but we've seen it in previous cycles. If things were to continue as they are right now, with most companies running improved time utilization and getting rate, is that impossible? No. It is likely? I don't know that it's necessarily likely, but the possibility would exist, to your question.
Michael Feniger - Bank of America Merrill Lynch: All right. That's helpful. Then my second question, just we're seeing some of your suppliers, they've announced some surcharges. Just to be clear, have you guys purchased most of your equipment for this year before the surcharges have been implemented? I was hoping you could just shed some color or whatever you can on that.
John M. Engquist - H&E Equipment Services, Inc.: Yeah, we will have essentially no impact from surcharges. We get our orders in early prior to surcharges being announced, so that will have very little impact to us.
Michael Feniger - Bank of America Merrill Lynch: Okay. That's helpful. And just lastly, apologies if you guys clarified this before, but did you guys break out your margins excluding the recent acquisitions? What it was?
Leslie S. Magee - H&E Equipment Services, Inc.: No, we did not.
John M. Engquist - H&E Equipment Services, Inc.: We did not, but I would add that generally speaking we've seen improvement across all regions of our existing business and have been very pleased with the margins associated with the smaller acquisitions.
Leslie S. Magee - H&E Equipment Services, Inc.: Yeah, I mean, just the rental business alone, I mean, they are up directionally just about the same ex the acquisition. So about 200 basis points without the acquisition, so strong results either way.
Michael Feniger - Bank of America Merrill Lynch: Thank you.
John M. Engquist - H&E Equipment Services, Inc.: Thank you.
Operator: We'll take our next question from Stanley Elliott with Stifel.
Stanley Stoker Elliott - Stifel, Nicolaus & Co., Inc.: Good morning, guys. Thank you all for taking the question. Quick question, we talked about the quoting activity picking up on the crane side. Is there a way to kind of parse out? Is this more of smaller cranes? Is this larger cranes? Just any kind of help there as we're thinking about demand on a go-forward basis.
John M. Engquist - H&E Equipment Services, Inc.: Yeah, I think the strongest activity we're seeing is on the all-terrain cranes, the large German product. That's the strength in the market right now. Rough terrain cranes are still soft and the crawler crane demand, I would say is spotty, Brad? Yeah.
Bradley W. Barber - H&E Equipment Services, Inc.: I would echo that.
John M. Engquist - H&E Equipment Services, Inc.: But the strength is in all-terrain cranes.
Stanley Stoker Elliott - Stifel, Nicolaus & Co., Inc.: Perfect. John, at the beginning, (24:45) and I apologize I didn't quite hear it all. But you went through this handful of larger projects returning to Gulf Coast. Did you say a timeframe on when think some of these things will start to break ground or is this just more kind of directionally where we should be thinking about the longer term trend of the business?
John M. Engquist - H&E Equipment Services, Inc.: I think you'll see some projects break ground in the second half of this year and then it's – certainly, we're excited about the longer term projects. But we're seeing some really big stuff announced on a pretty regular basis here. Formosa just announced a $9.4 billion project in Louisiana. It's a chemical manufacturing project, but we're seeing that on a pretty regular basis, but we think the long-term picture for the Gulf Coast is bright.
Stanley Stoker Elliott - Stifel, Nicolaus & Co., Inc.: Last for me. You guys have been pretty active on the M&A front, and then even with the greenfield or warm start. Should we expect continued growth, and how is the acquisition pipeline looking for you all right now?
John M. Engquist - H&E Equipment Services, Inc.: Yeah, look, we're working hard on that front. We think we see a lot of opportunity out there, and you should expect to see us announce more acquisitions to the future.
Stanley Stoker Elliott - Stifel, Nicolaus & Co., Inc.: Perfect. Thank you, guys, and best of luck.
Operator: We'll take our next question from Bill Mastoris with Baird & Company.
William McGoldrick Mastoris - Robert W. Baird & Co., Inc.: Thank you. John and Leslie, in your prepared remarks and also in the earnings release, you talk about – and this is kind of a follow-up to the very last question – that you are going to be involved in additional acquisitions. For the right acquisition or maybe it's a series of smaller acquisitions, how far are you willing to stretch the balance sheet?
John M. Engquist - H&E Equipment Services, Inc.: We would not want to take our leverage probably beyond four turns. We're comfortable doing a significant acquisition taking leverage to four turns. The analysis we've done on smaller acquisitions – we can do two to three small acquisitions a year and really not have much impact on our leverage. Our leverage would stay at three turns or less doing that. So we're pretty conservative with our balance sheet and we'll continue to be so.
William McGoldrick Mastoris - Robert W. Baird & Co., Inc.: Okay. And maybe a little bit about the criteria for acquisitions. Multiples seem to be going up. I mean, is this something where you would make an acquisition for maybe six times, including synergies? Maybe a little bit more color on that would be appreciated.
John M. Engquist - H&E Equipment Services, Inc.: Yeah. I mean, I could see us paying six turns for the right acquisition. That could make plenty of sense for us. But I can tell you, we will be very disciplined on what we pay for assets. And I think you saw that when we walked away from the Neff transaction. So we're going to be disciplined in what we pay for assets.
William McGoldrick Mastoris - Robert W. Baird & Co., Inc.: Okay. And then the next question I have, maybe a little bit more granular detail on maybe the oil and the increased activity in oil and gas. Is this something where these are long-term plans? Or are these one-off short-term projects? So stated maybe another way, is this sustainable in your view?
John M. Engquist - H&E Equipment Services, Inc.: Yeah, I think so. Look, our exposure to the oil field is primarily the Eagle Ford and Permian Basin, and the drilling activity is strong there as it's ever been. We've probably got more fleet in those two basins today than we did when oil turned down, and running exceedingly high utilization. So, yeah, we don't think – now, look, if oil goes to $40, it's another issue, but if oil stays close to where it is, we think this is going to sustain itself for some time.
William McGoldrick Mastoris - Robert W. Baird & Co., Inc.: Thank you very much.
Operator: Go back to Michael Feniger with Bank of America Merrill Lynch.
Michael Feniger - Bank of America Merrill Lynch: Hey, guys. Yeah. Sorry. Just wanted to squeeze one more in. I mean, you guys mentioned the rate environment. We saw the 0.2% sequential rate increase in the quarter. I guess with some concerns in the market with some over-fleeting and maybe rate momentum, can you just kind of comment on April? Are you seeing that momentum in April, any weather issues? Just if you guys would comment on April and if there's any change in trend there?
John M. Engquist - H&E Equipment Services, Inc.: Yeah, look, what we're seeing, and I prefer to quote rates on a quarterly basis as opposed to monthly, you can get some movement there, but I will tell you what we're seeing at this point in April is we're very pleased with. I mean, it's looking strong on the rate side right now and we'll see how that pans out over the quarter, but we have strong expectations for rate this year. We're in a good environment.
Michael Feniger - Bank of America Merrill Lynch: Thank you. Appreciate that.
Operator: And we'll go back to Neil Frohnapple with Buckingham Research.
Neil Frohnapple - The Buckingham Research Group, Inc.: Hey, guys. Thanks. Could you just quickly talk about the SG&A run rate for Q2 and the rest of the year, including the Rental Inc. acquisition? And then I guess as a follow-up, you called out SG&A inflation, Leslie, due to higher labor, wages, incentives, et cetera, I think a $4 million increase year-over-year. Were there some one-times in there – one-timers that would potentially moderate as we move through the year?
Leslie S. Magee - H&E Equipment Services, Inc.: Right. So as far as the one-timers in the quarter, we did have about $500,000 worth of stay bonuses related to CEC that would be in the $4.1 million versus in their legacy operations that we called out of the $2.2 million. So that would be one thing to consider. So that was your second question. And then your first question was just talking about run rate SG&A for the full year. So looking forward, we kind of view SG&A on the basis of a percent of revenue, kind of flat year-over-year and that's really as a result of the impact from the greenfields, the acquisitions, the growth in the rental business, and kind of how that plays into your cost as a percent of revenues. And then, as a result of the acquisition, to take that one step further, we called it out in the quarter. We do have some purchase accounting adjustment, so related to like amortization of intangibles and sort of thing. So that will increase SG&A moving forward for both CEC and the Rental Inc. acquisition. So we view SG&A as a percent of revenues flattish year-over-year.
Neil Frohnapple - The Buckingham Research Group, Inc.: Okay. For full year basis that as well?
Leslie S. Magee - H&E Equipment Services, Inc.: Yeah.
John M. Engquist - H&E Equipment Services, Inc.: Right.
Neil Frohnapple - The Buckingham Research Group, Inc.: Okay. All right. Thanks very much.
Leslie S. Magee - H&E Equipment Services, Inc.: Sure.
Operator: And that concludes today's question-and-answer session. I'd like to turn it back over to our speakers for any additional or closing remarks.
John M. Engquist - H&E Equipment Services, Inc.: I want to thank everybody for being on the call. Again, we're in a good, solid environment. We have strong expectations for the year and look forward to talking to you on our next call. Thank you.
Operator: And that concludes today's call. Thank you for your participation. You may now disconnect.